Operator: Thank you for attending Wajax Corporation's 2023 Fourth Quarter and Year-End Financial Results Webcast. On today's webcast will be Mr. Ignacy Domagalski, President and Chief Executive Officer; and Mr. Stuart Auld, Chief Financial Officer; and Ms. Tania Casadinho, VP corporate controller. Please be advised that this webcast is being recorded. Please note that this webcast contains forward-looking statements. Actual future results may differ from expected results. I will now turn the call over to Tania Casadinho. Thank you. Please go ahead. 
Tania Casadinho: Thank you, operator. Good afternoon and thank you for participating in our fourth quarter results call. This afternoon, we will be following a webcast, which includes a summary presentation of Wajax's Q4 2023 financial results. The presentation can be found on our website under Investor Relations, Events and Presentations. To begin, I would like to draw your attention to our cautionary statement regarding forward-looking information on Slide 2 and the non-GAAP and other financial measures on Slide 3. Please turning to Slide 4. And at this point, I will turn the call over to Iggy. 
Ignacy Domagalski: Thank you, Tania. I will provide highlights on our fourth quarter before turning it over to Stu for commentary on backlog, inventory and the balance sheet. This slide provides an overview of Wajax. The corporation has 165 years of Canadian operating history and operates across 119 branches with a team of more than 3,250 employees. During the quarter, our heavy equipment categories and revenue sources made up approximately 56% of our total revenue, while industrial products and ERS generated approximately 44%.  Turning to Slide 5. Slide provides an overview of our purpose and values. Wajax's purpose statement is empowering people to build a better tomorrow, which we strive to achieve by living our values and delivering an exceptional experience to our people, customers, suppliers, and the communities we serve. By living our purpose and values, we will continue to build a people-first company that is strong, resilient and profitable. Our purpose and values guide our decision-making and allow us to execute on our strategic priorities.  Turning to Slide 6. This slide provides an overview of our strategic priorities, which are refreshed and enhanced in 2023. Management is completely focused on executing against these priorities, and between our purpose and values and these six priorities, we have the foundation to continue growing our company for many years to come.  Turning to Slide 7. In the fourth quarter, Wajax saw strong adjusted EBITDA performance. Revenue of $542.6 million increased $1.3 million during the quarter. The increase resulted from higher construction and forestry sales in Central and Eastern Canada and higher ERS sales in all regions, offset partially by lower mining and construction and forestry equipment sales in Western Canada. Gross profit margin of 21.2% increased 310 basis points compared to the same period of 2022, due primarily to higher margins across all revenue types and a higher proportion of ERS and product support sales as compared to equipment sales. Selling and administrative expenses as a percent of revenue increased to 17.1% in the fourth quarter of 2023 from 13.2% in the fourth quarter of 2022. Excluding the $5.5 million loss on interest rate swaps and the $1.5 million facility closure, restructuring and other related costs, selling and administrative expenses as a percent of revenue was 15.7% in the fourth quarter of 2023.  Selling and administrative expenses in the fourth quarter of 2023 increased $21.2 million or 29.6% compared to the fourth quarter of 2022, due primarily to higher personnel costs as the volume of ERS and product support business increased over the prior year and unrealized loss of interest rate swaps of $5.5 million in the quarter compared to a loss of less than $0.1 million in the same quarter of the prior year, and a facility closure, restructuring and other related costs of $1.9 million in the quarter without a comparable cost in the same quarter of the prior year.  Adjusted EBITDA of $47.2 million increased $3.4 million or 12.1% from the fourth quarter of 2022, noting the adjustments recorded on this chart. The increase resulted from higher selling and administrative expenses, offset partially by higher margins and a higher proportion of ERS and product support sales.  Adjusted net earnings of $0.83 per share were unchanged from the fourth quarter of 2022, noting the adjustments recorded on this chart. At the end of Q4, the TRIF rate was 1.01, an increase of 20% from the fourth quarter of 2022. The fourth quarter TRIF rate was down 3% from the third quarter of 2023. Safety continues to be Wajax's number one priority and management is committed to continuously improving our safety programs to improve on this result. We thank everyone on our team for their ongoing dedication to workplace safety.  Turning to Slide 8. Revenue increase of 0.2% in the fourth quarter resulted from growth in the Central and Eastern regions. Western Canada sales of $236 million decreased 16% in the quarter, mainly due to the timing of mining equipment sales as well as lower equipment sales in the construction and forestry category, offset partially by strong ERS sales. Central Canada sales of $105 million increased 21.3% in the quarter due primarily to strong ERS sales, higher equipment sales in the construction and forestry category and higher product support revenue across all categories. Eastern Canada sales of $202 million increased 15% in the quarter due primarily to higher equipment and product support sales in the construction and forestry category and strong industrial parts and ERS sales.  Please turn to Slide 9. An update on equipment and product support sales and year-over-year variances are shown on this page. Equipment sales of $158 million decreased $44 million or 22% compared to last year due primarily to lower mining and construction and forestry sales in Western Canada, offset partially by higher construction and forestry sales in Central and Eastern Canada. Product support sales of $133 million increased $15 million or 12% due primarily to higher mining revenue in Western Canada and higher construction and forestry revenue sales in Eastern Canada. Please turn to Slide 10. An update on industrial parts and ERS sales and year-over-year variances are shown on this page. Industrial sales of approximately $136 million, decreased $2 million or 1% due to lower sales in Western Canada, offset partially by higher sales in Eastern Canada. ERS sales of $104 million increased $31 million or 43% due to higher sales in all regions, particularly in Western Canada. Turning to Slide 11, this slide summarizes sales at a category level for our company's overall groupings of heavy equipment and industrial parts and services. In the fourth quarter, the heavy equipment categories decreased $28 million or 8%, driven primarily by lower mining sales in Western Canada, offset partially by higher construction and forestry sales in Central and Eastern Canada. In the fourth quarter of 2022, the corporation sold several large mining shovels, resulting in particularly strong revenue in the quarter. Total growth in industrial parts and services categories of approximately $29 million or 14% was driven by an increase in ERS across all regions. We continue to see growth in these less cyclical categories and they remain a core element of our broader growth strategy. I will now turn the call over to Stuart.
Stuart Auld: Thanks, Iggy. Please turn to Slide 12 for my comments on backlog and inventory. Our backlog of $554 million decreased $45.3 million or 7.6% compared to backlog of $599.2 million at Q3 and increased $85.2 million or 18.2% on a year-over-year basis. The sequential decrease was due to the lower construction and forestry orders. The year-over-year increase was due to higher mining, material handling and ERS orders offset partially by lower construction and forestry orders. Overall, our strong backlog reflects continued momentum in our heavy equipment, industrial parts and ERS categories. Inventory decreased $28 million, compared to Q3 2023 due primarily to lower equipment inventory in the construction and forestry category due to timing of inventory purchases. Inventory increased $168.8 million, compared to Q4 2022 due to increases in most categories as a result of strong sales activity. Please turn to Slide 13, where I'll provide an update on cash flow, leverage and working capital. Cash flow from operating activities in the quarter of $48.5 million increased $29.4 million from cash generated from operating activities of $19.1 million in Q4 2022 mainly due to an increase decrease in accounts receivable and inventory. Our Q4 leverage ratio decreased to 1.98 times from 2.16 times in Q3 due to the lower debt level in the current period driven largely by cash generated from operating activities during the quarter. The corporation's leverage ratio is currently within our range of 1.5 times to 2 times at the end of Q4. Our available credit capacity at the end of Q4 was $126.6 million, which is sufficient to meet short-term normal course working capital and maintenance capital requirements and fund our acquisition program and planned strategic initiatives. On January 11, 2024, we amended our senior secured credit facility increasing the facility limit from $400 million to $500 million. The increased facility size will provide us with the flexibility to continue to invest our expanded Hitachi relationship, additional organic initiatives and acquisition opportunities to help drive future growth. We continue to focus on working capital efficiency, which is a key component in managing our overall leverage targets. The Q4 working capital efficiency was 23.9%, an increase of 250 basis points from September 30, 2023 due to the higher trailing fourth quarter average working capital.  Finally, on March 4, 2024, the corporation announced a 6% increase in its quarterly dividend, a dividend of $0.35 per share was declared for the first quarter of 2024, payable on April 2, 2024 to shareholders of record on March 15, 2024. The dividend increase reflects the board's and management's collective belief in our strategic vision. Please turn to Slide 14.  And at this point, I will turn it back to Iggy.
Ignacy Domagalski: Thanks, Stu. Our 2024 outlook is summarized on Slide 14. In 2023, Wajax celebrated its 165th anniversary, delivered record revenue of $2.154 billion up 9.8% from 2022 and saw adjusted basic earnings per share grow 19.1% to $3.88 per share. Gross profit margin was 20.9% in 2023 versus 19.9% in 2022 due to improved product mix and margin improvement initiatives, resulting in an adjusted EBITDA margin of 9.2% in 2023 versus 8.5% in 2022. Moving into 2024, we continue to see solid fundamentals in many of the markets we serve, particularly mining, energy and construction, supported by relatively elevated key commodity prices and sustained customer budgeting for capital projects. We started 2024 with a strong backlog of $554 million up 18.2% from the end of last year, which supports management confidence in the near-term.  In addition to expected growth in our heavy equipment business over the long-term, we continue to anticipate further demand in our less cyclical industrial parts and ERS businesses. Challenges associated with higher interest rates, wage and price inflation and a tight labor market are expected to persist. Management continues to monitor market dynamics and customer sentiment for signs of possible weakness. And for 2024, management will be focused on executing its six strategic priorities, which were set out earlier on Slide 6.  I will now turn it back over to the operator and open the line for questions. 
Operator: [Operator Instructions]. And your first question comes from the line of Michael Doumet from Scotiabank. Please go ahead.
Michael Doumet: It feels that there were a few moving parts in the quarter, which I'm not a 100% sure on how to square away as read through for '24. So maybe to start, it did look like IP and ERS traveled in some of an opposite direction in Q4. Maybe just if you can kind of get into what drove some of the divergence there and how I should think about the go forward for those two lines of businesses?
Ignacy Domagalski: Yes. Thanks for the question, Michael. For IP and ERS, it's better to think of them together. Sometimes there is a little bit of revenue that spills over from one into the other, depending on kind of the project and whether the revenue associated with the project is associated with service or product. So, it's thinking about those moving together is I think a better way to look at it.
Michael Doumet: And the other one I wanted to maybe get a better understanding for was SG&A. Even if you exclude the one time worth that you flagged in your release and in the prepared remarks, SG&A of $85 million, $10 million higher versus the previous quarter, just what drove the increase?
Stuart Auld: I think looking at it quarter to quarter too is a bit of a challenge, Michael. The way that we look at it is really year-over-year. And when you take out the noise of the interest swap mark-to-market and the branch closure, you look at 2022, SG&A was 14.4% and then you look at last year and it was 14.5%. And so that's a level that we're pretty comfortable with. And we're still very comfortable with our 14.5% to 15.5% range that we state.
Michael Doumet: So just some lumpiness. And maybe since getting out of the weeds a little bit for a larger picture question. Just trying to get a sense for your how you feel about growth expectations for '24, the outlook calls for solid fundamentals in, I think, most of your end markets. So how do you think for Wajax just in terms the growth opportunity and where you think you might have opportunity for outsized growth?
Ignacy Domagalski: I think there's a few areas that we remain excited about. Central Canada is one. We've had great results there quarter-over-quarter and year-over-year north of 20%. And we've got high expectations for that region. Our partnership with Hitachi continues to be strong and their offering that they offer to us and our end customers continues to get better, especially with Wajax's and their product support. So, we see 10-plus years of wonderful growth opportunities with Hitachi. And our IP and ERS businesses are a little less cyclical. So, we feel quite good about those businesses and the end markets that we serve. And then on the acquisition front, we're active. So, we added a second person to the team. And as we mentioned in our release here, we increased our credit line by another $100 million to be able to fund all of this growth. So, we're feeling pretty good about the upcoming year.
Operator: And your next question comes from the line of Devin Dodge from BMO Capital Markets. Please go ahead.
Devin Dodge: A good start with maybe picking up on that last question or part of it. It's just with the Hitachi direct relationship, but is there a way to frame the progress being made on leveraging that relationship, whether it's equipment availability, product support, market share or some other metrics? And where do you see the most opportunities in 2024?
Ignacy Domagalski: Thanks for the question, Devin. I would say that our relationship with Hitachi is excellent. And the promises that were made and that have been made from Hitachi to us have been met and exceeded in many cases. In terms of the opportunity that we really see is the financing programs continue to get better, which is great. I mean, there was it was not so long ago where there was no financing program at all from Hitachi and now we have one and it continues to get better. I think there are opportunities in the parts business. As you may recall in Q1 of 2023 there was a tornado that ripped through their parts warehouse and that really created a lot of problems with parts availability. That has since been 95% fixed. And then Hitachi's commitment to the Americas is really solid. I mean, this is where they're placing some of their bets in their publicly released materials. This is what they talk about. And part of that is making sure that the equipment is available for us to be able to sell. So, I think those are three key areas that we think about, but there's lots of other things that Hitachi works on behind the scenes as well.
Stuart Auld: I think the other thing that we'd probably add would be, if you look back at this, we've only been at this with Hitachi for 17 or 18 months. So, I continue to think that it's still a startup. But we've hit all of our targets and just think that there is huge upside for us going forward as you said on a multiple multitude of things, including the mining sector. So, it's not just construction. We also have loaders and mining, etcetera, and think that there's still opportunity there.
Devin Dodge: And then back to the outlook, look, I might be reading too much into this, but in the outlook section, when discussing the growth outlook for the construction sector, I think long-term was inserted into the commentary versus what we've seen in prior quarters. Just trying to understand, does that infer that in the interim here, there might be some softness in construction? 
Ignacy Domagalski: Yes. I think we're starting to see some customers delay purchases, just due to the higher interest rate environment. And so, we view it as a great long-term business, midterm business. And in the short term, we think there's a few bumps, which from our end are offset by better financing programs and Hitachi's just aggressive desire to continue to grow market share in the Americas including Canada.
Devin Dodge: And then, I think maybe just one last one. One of your priorities for the last while and I think you highlighted in your earlier comments has been to turn Wajax into a people first business. Just can you talk about the progress that you've made to date and maybe the focal areas for 2024?
Ignacy Domagalski: Yes. Absolutely, Devin. One of the first things we did is we brought on a Chief People Officer a year ago. I think we've made great progress on this front. One was developing our purpose and values and pushing those throughout the organization and making sure that they're being lived on the front lines. And in terms of the results that we're seeing, we're seeing positive movement on our employee net promoter scores. We're seeing positive movement on attrition levels, which are going down and reducing our recruiting costs and the costs related to attrition. And we're starting to see more applicants per role as well. So, we're just starting to see better quality people. They're sticking around longer and they're happier and more productive. So, we're happy with the partnership and we still the long [indiscernible]. 
Operator: [Operator Instructions]. And your next question comes from the line of Michael Tupholme from TD Securities. Please go ahead.
Michael Tupholme: Going back to the one of the earlier questions about the performance of IP and ERS, I'm wondering, I take your point about putting those together and looking at them as a group or an aggregate. Wondering, when we look year-over-year and when we do that and we look year-over-year, there is some pretty good growth there. But wondering if you can kind of break that down. You did a couple of acquisitions in that area during 2023. Is it possible to talk about how much of that growth we saw in the fourth quarter on a year-over-year basis was organic versus the benefit of the acquisitions?
Ignacy Domagalski: Mike, the majority of the growth would have been organic.
Michael Tupholme: And then regarding the outlook for 2024, I'm just wondering if you can comment on the competitive landscape or competitive dynamics as you head into 2024, particularly within the equipment space relative to what you would have seen heading into last year in 2023?
Ignacy Domagalski: I think in the equipment space, we're starting to see our competitors have more equipment in the yards, which is pretty easy to notice if you drive around any city. So just a little bit more inventory available. That's really the main competitive dynamic that we're seeing. And then from our end, that's offset with our better financing programs and Hitachi's desire to continue to grow market share in the region.
Michael Tupholme: And apart from the financing program, what are some of the levers that Hitachi is relying on to try to drive the growth and meet the targets that they've set for themselves?
Ignacy Domagalski: I think it's like any other dealer. They rely on price. They rely on financing. They rely on the fact that a lot of people really do think Hitachi is a better product and that their technology is just a superior machine and doing better job at sales and marketing to make sure that that message is getting out to the customers.
Michael Tupholme: You asked earlier about SG&A as a percentage of revenues and you talked about that a little bit. I'm wondering. Can you comment on an overall consolidated basis? When we look at your margins, if we take EBIT margins, for example, you saw a nice improvement on a year-over-year basis really through each of the last three quarters of 2023. So, as we look to 2024, are you able to comment on the opportunity as it relates to margin improvement looking forward?
Ignacy Domagalski: I think when you look at 2023, we grew the more profitable areas of our business, which was wonderful and I think a big win for our team and they did a great job. So, we grew IP, we grew ERS, we grew product support. And then those are the areas that we really want to continue to grow. And if you look at our strategic priorities, the second one is grow the base business with a focus on parts, service and margin and that's exactly what we did. And then on the just general margin improvements, there's a pretty big focus inside of our company to continue to push margin improvements on the gross margin side. And that's not just raising prices for customers. I mean that's an easy way to lose market share. It is delivering more value to customers and making sure that we're delivering a value that we can charge a little bit more for. And we do that throughout all of our businesses as well as continuing to review our costs, continuing to consolidate branches where it makes sense and really watch our SG&A line. So, there's a pretty strong focus in our company on that and all of our comp plans are dialed right in to make sure that we're focused on the bottom-line.
Michael Tupholme: And then just lastly, I mean, you touched on it, albeit briefly, just the fact that one of the strategic priorities remains a focus on acquisitions within the IP and ERS space. I'm wondering if you're able to provide a little bit more detail as to what the opportunity pipeline looks like as you look forward here still early in the year? 
Ignacy Domagalski: Yes. So, we did a couple of tuck-ins this year, which was great. And we have a pretty robust pipeline that we continue to work on an ongoing basis and would hope that on an ongoing basis we'd have at least a couple every year that we could tuck-in. 
Stuart Auld: Something that nobody actually asked about, which I'll comment on is the number of mining shovels that seems to come up every time and nobody asked about it. So, I'll just briefly clarify that one. Just from a high-level basis, in 2022, we had five shovels. And in 2023, we had two big shovels shipped. When we're looking at the quarters, Q4 of 2023, we had none shipped. And then we've got four shovels in the backlog, four of our largest shovels, two are to ship in 2024 and two are to ship in 2025.
Operator: Thank you. There are no further questions at this time. Please proceed.
Ignacy Domagalski: Thank you very much for joining us on our call. We appreciate the time and we'll talk to you soon.
Operator: Thank you. Ladies and gentlemen, this does conclude our conference for today. Thank you all for participating. You may all disconnect.